Operator: Good day, and welcome to the Destination XL Q1, 2017 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Tom Filandro, Managing Director at ICR. Please go ahead.
Tom Filandro: Thank you, Christina and good morning everyone. Thank you for joining us today on Destination XL Group's first quarter fiscal 2017 earnings call. On our call today is David Levin, our President and Chief Executive Officer, as well as Peter Stratton, our Senior Vice President and Chief Financial Officer. During today’ call we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release, which was filed this morning and is available on our Investor Relations Web site at investor.destinationxl.com for an explanation and reconciliation of such measures. Today’s discussion also contains certain forward-looking statements concerning the Company’s operations, performance and financial condition including sales, profitability, EBITDA, gross margin, capital expenditures, earnings per share, free cash flow, store openings and closings and the Company’s ability to execute on its strategic plan. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the Company. Information regarding risks and uncertainties is detailed in the Company’s filings with the Securities and Exchange Commission. Now, I'd like to turn the call over to our President and CEO, David Levin.
David Levin: Thank you, Tom and good morning everyone. I'm pleased to report today that DXL is off to a solid start to fiscal year 2017. For the first quarter, our comparable sales declined 2.1%, which is very much in line with how our business was trending for the fourth quarter of last year. When we reported our fourth quarter results in late-March, it was clear that both February and March would be challenged from a top line perspective. The good news is that our sales performance accelerated dramatically with the positive comp of 6.4% compared to last year and net sales momentum has continued into May. We’re on track to deliver a positive comp for the second quarter and we’re achieving our goal of reinvigorating top-line growth by expanding our brand reach and driving new to file shoppers to the DXL men’s apparel brand. Back in March, we highlighted that our first strategic initiative to grow our customer base was supported by increasing our 2017 marketing budget by approximately 40%, which included reinstituting television advertising, utilizing creative content renew work. We launched our spring television and the advertising campaign on April 2nd comprising 10 weeks of air time compared to only six weeks last year. We expected to see a lift in traffic and transaction from the advertising in the month of April, but the response exceeded our expectations. We’re also pleased to see that our end of the rack penetration increased to 44.8% in first quarter 2017 compared to 43.8% in first quarter 2016. This is a clear indication our marketing efforts are paying off. We’re now halfway through the spring campaign, which will continue through Father’s Day. We’re building our brand awareness and we remain on track with our positive comp sales guidance for the full year. What we are most pleased about is our customer acquisition growth. We’re adding new to file shoppers to our brand, which we identify as one of our key initiatives for this year. We also remain committed to a fall television advertising campaign, which we expect to begin in October and run through the holiday season. Keep in mind, we do not run television in the fall of 2016, so our fall 2017 campaign will compare against no television last year. Building on the spring summer momentum, we expect the campaign will drive traffic to our stores and our Web site an increase our brand awareness during the fall and critical holiday selling season. We continue to believe our greatest opportunities that six out of 10 big and tall guys still do not know who we are. And therefore our top priority in 2017 remains to increase brand awareness, acquire new customers and retain existing customers. We’re attacking this opportunity to two key strategic initiatives in 2017; the first, I just discussed, is recommitting to an aggressive advertising and marketing vision; the second is to redefine and improve our digital experience. Overtime, we expect that our additional vision will transcend ecommerce and become pivotal to every customer interaction. Under the leadership of our Chief Digital and Information Officer, Sahal Laher, we are on track to build an unparallel digital experience for the big and tall guys. Currently, our digital experience is transactional in nature. The Web site is an online catalog and lacks the interactive guidance selling experience that today’s digitally savvy consumer demands. We are committed to bringing the same white glove services provided in our stores to our digital interactions. Reducing friction points for the customer is a key emphasis and we’re evolving our customer experience with that goal in mind. In this regard, we remain focused on four key areas; first acquisition, leveraging digital marketing to attract new customers with the DXL men’s apparel brand; second retention, driving customer loyalty through targeted engagement and building the store of one with curetted looks and experiences for our consumer; third, fit and comfort, delighting the customer with unique experiences that feature personalized fit and comfort as a competitive advantage; and fourth, marketplaces, expanding the DXL men's apparel brand reach by leveraging strategic business relationships such as with Amazon. We're on track to launch our first mobile app during the second quarter, which represents a key priority in driving customer engagement. The mobile app will provide a platform to engage with shoppers in a personalized manner, while offering ease and convenience to shop our entire selection of brands and private label merchandise. In addition, our loyalty program will be integrated into this mobile platform to simplify the monitoring and redemption of rewards. Our e-commerce sales penetration in fiscal 2016 was approximately 15% of total sales. We expect to experience solid growth in our digital channel in 2017, benefitting from strategic action plan, while leveraging our already robust omnichannel capabilities and the new mobile app. I'd now like to shift gears and talk about our store strategy. We currently operate in 218 DXL stores with the presence in every major market in the Continental United States. The DXL men's apparel store build out has been a capital intensive proposition for the past seven years and our 2017 plan is designed to reduce our capital associated with new store growth. We plan on leveraging the scale of our existing store base by elevating our marketing efforts and accelerating our digital engagement. As we highlighted back in March, we entered 2017 with the slower pace of new store growth. We're on track to open approximately 20 new stores in 2017, which is down considerably from the 30 stores we opened in 2016 and we will continue to slow the pace of new store growth. In fiscal 2018, we expect to open approximately five new DXL stores, while simultaneously accelerating our digital engagement, appropriately aligned with the evolving retail landscape. Our slower store growth plans are strategically and financially aligned with our goal of delivering strong free cash flow, while continuing to expand our DXL men's apparel branch reach. There’ve been no changes in our plans to close approximately 19 Casual Male store locations in 2016, resulting in square footage growth for the year of approximately 2.6%. Our DXL men's apparel stores now represent 78% of the total Company store footprint, and are expected to reach 80% by the end of fiscal 2017. I want to reiterate what we highlighted back in March regarding our legacy Casual Male stores. This is a healthy fleet with 121 out of the 123 Casual Male stores in operation today, generating positive free cash flow. We successfully opened our first two Canadian DXL men's apparel stores in Toronto market. We opened these stores on time and with no issues. These are Company- operated stores, and I'm pleased to report that both locations are performing ahead of plan, and we are experiencing higher than expected levels of traffic and shopper conversion. We believe the Canadian market represents the strategic growth region for our brand. Canada is our number one export country of DXL men's apparel merchandise, and we have extensive experience servicing the Canadian shopper from our boarder stores. As we gain valuable incremental insight into the big and tall Canadian consumer, we remain focused on becoming the go-to-destination for all of his wardrobe needs. Before we move on to the first quarter financial update, I want to address a research note about DXL that was recently picked up by a number of media outlets. DXL was included on a list of 10 retailers considered by the author to be vulnerable to bank the fall within the next 12 months. I’d like to take this opportunity and say that we believe DXL’s inclusion on this list accurately assesses our financial position and business outlook. We ended fiscal 2016 with the debt EBITDA ratio of 2:1 and over $57 million of unused access availability under our bank facility. Our strategic direction is clear. We’re on track with our goal generating $15 million to $20 million of free cash flow this year. Furthermore, we are opportunistically repurchasing shares in the open market. During the first quarter, we repurchased 670,000 shares and we have capacity to buy more with $10.2 million remaining on our currently repurchase authorization. We’re taking a balanced approach to capital allocation and this flexibility is allowing us to repurchase shares and pay down debt. With that, I’ll now pass the call over to our CFO, Peter Stratton who will review our financial performance. Peter?
Peter Stratton: Thank you, David, and good morning, everyone. I’d like to start off today with a brief summary of our first quarter 2017 results. For the first quarter, net sales were $107.6 million, inclusive of a total Company comparable sales decline of 2.1% compared to 2% increase in the prior year quarter. As David mentioned, our top-line results were in line with our expectations for the quarter, but ended strongly as our April comp accelerated to positive 6.4%, benefiting from the launch of the television advertising campaign. Performance across the country was evenly balanced. Some of you will recall from last year that our comparable sales performance in the Middle American states was approximately 600 basis points behind our performance on the coast. We are very pleased to see that gap has closed in the first quarter of 2017 and the stores in the middle of the country are once again performing in line coast. Gross margin for the first quarter, including occupancy costs, was 45.2% compared with 46.1% for the first quarter of fiscal 2017. Our merchandise margins increased by 10 basis points, but we also experienced 100 basis points deleveraging in occupancy costs for a net decline of 90 basis points in gross margin. Our merchandise margin is benefited from lower promotional marks down compared to last year. Occupancy expense was negatively impacted by pre-opening rent expense on 11 new DXL store openings this year compared to only five last year. Next, I’d like to talk about SG&A costs. Obviously, our elevated investment and advertising is going to have an impact on expenses. Our SG&A expense for the first quarter was 42.9% of sales, which was better than we expected compared with 38.3% a year ago for an increase of 460 basis points. On a dollar basis, SG&A expense increased $4.8 million from Q1, 2016. The increase in advertising cost of approximately $3.5 million accounted for approximately 320 of the 460 basis point increase. The balance of the increase was related to store payroll and supporting costs associated with our existing store base. As a reminder, our plan incorporates an increase in our marketing and digital expense base by $6.8 million for the full year in fiscal 2017. And we also expect our performance incentive accruals to return to a more normal level, which will contribute to a higher SG&A rate in 2017. For the full year, we expect an SG&A increase of approximately 150 to 200 basis points. GAAP net loss for the quarter was $6.1 million or minus $0.12 per share compared with net income of $200,000 or breakeven per share a year ago. Net income on a non-GAAP basis, assuming a normalized tax rate of 40%, was $0.07 per share compared to breakeven in Q1 of fiscal 2016. Our EBITDA for the first quarter was $2.5 million compared to $8.4 million in the prior year quarter. Again, this was primarily driven by higher planned marketing costs associated with our television advertising campaign and higher occupancy costs. Capital expenditures for the first quarter of fiscal 2017 of $6.9 million were up 13% from $6.1 million in the first quarter of 2016. The higher CapEx was due to the opening of 11 DXL men's apparel stores, including the two new locations in Canada. Inventory at the end of the first quarter was down $4.4 million or 3.5% from the first quarter of fiscal 2016. This inventory reduction is a direct result of continued inventory initiatives we've been pursuing since 2016 to improve timing of receipts and weeks of supply on hand. As a reminder, we previously identified several opportunities within our merchandise planning and allocation functions that we believe will drive an additional $8 million to $12 million of further inventory improvements in fiscal 2017. And we remain on track with that initiative. Our inventory composition is healthy in current with clearance merchandise representing only 8.2% of our total inventory at the end of the first quarter compared to 8.7% for the same period last year. Total debt at quarter end was $78.8 million, which includes borrowings under the revolving credit facility of $62.1 million, with excess availability of $45.7 million. This compares to $80 million of total debt a year ago. Keep in mind that our debt levels are elevated in Q1 compared to Q4 due to the seasonal build of spring merchandise. Now, let me turn to our 2017 guidance, which we are reaffirming today; total sales of $470 million to $480 million; total Company comparable sales increase of approximately 1% to 4%; gross profit margin of approximately 46%; and adjusted net loss of $0.06 per share to $0.14 per diluted share assuming a normalized tax benefit of approximately 40%; EBITDA in the range of $24 million to $30 million; capital expenditures of approximately $22 million before tenant allowances of $5 million with approximately $13.7 million invested in new DXL stores; free cash flow in the range of $15 million to $20 million; and we expect to open approximately 19 DXL men’s apparel retail stores and one DXL outlet location. We also plan to close approximately 16 Casual Male XL retail stores and three Casual Male outlet stores. Now for quarterly modeling purposes, I would like to offer the following directional comments. Our elevated efforts in marketing and digital development weigh a bit more in SG&A expenses in the second quarter than we originally expected. We expect SG&A expense to be 150 to 200 basis points greater than last year and our non-GAAP earnings per share to be a slight loss for the quarter. We again expect the loss in Q3 and a profit in Q4. Lastly, before we open the call for questions, I’d like to update you on our capital allocation strategy, including our share buyback. The Company is forecasting free cash flow of $15 million to $20 million for fiscal year 2017 and we intend to use that cash flow to both pay down debt and buyback shares. Our Board of Directors previously authorized a stock buyback program for up to $12 million in fiscal 2017. This authorization provides the Company with additional flexibility to balance debt pay down with shareholder returns. During the first quarter, we repurchased 670,000 shares of our stock for a total cost of $1.8 million, which leaves approximately $10.2 million remaining under the current authorization. Maintaining adequate excess availability under our credit facility remains our top priority, and we believe a combination of debt pay down and stock buyback represents the best use of free cash flow in fiscal 2017. And with that, operator, we would like to open the call for questions.
Operator: [Operator Instructions] We’ll take our first question from Eric Beder with Wunderlich.
Eric Beder: Could you talk a little bit -- let’s see, I have a number of questions here. Could you talk a little bit about the Canadian opportunity in terms of how many doors you’re seeing? And is there any difference really in what they’re wanting in terms of product or pricing than we’re seeing in the U.S?
David Levin: That’s a good question. So we’re starting out in the Toronto market; currently, there is our competitive who’s there they actually in bankruptcy right now; to mention that also about 14 stores overall. I mean Toronto is the fourth largest city in North America. So I think that we could certainly have seven, eight stores in that market overtime. What’s interesting is on the customers’ response to our stores, very similar to the profile we have of our U.S. customers. We were a little quizzical, would they be more inclined to buy our brands, because they’re more familiar with it. But they really are taking too our private label product as they do in the United States, which is great for us, because obviously we get a higher margin dollar on our private label.
Eric Beder: In terms of just kind of switching gears, when you’re looking at the e-commerce business, I know it’s going to be a nice growth driver for you. What are you seeing the difference in margins between your e-commerce versus stores in terms of that? And what do you see the return rates there to drive that business?
David Levin: So in the ecommerce business, I think first of all, we do have a bit of difference in mix where the direct customer shopping on the Web is more value-based, looking for deals more frequently, so we take a little more in markdowns. We obviously have to pay for the freight, but a number of our customers they actually prefer to expedite, which they pay for. So when we're comparing direct versus stores, there is not a huge difference. It's more a difference in mix where we saw more full pricing stores and more low value product on the Web.
Peter Stratton: The important thing to notice when you mentioned returns, we're very fortunate in this environment where returns really eat up the profits of brick-and-mortar online sales. Our return rate is 8% which is, to me, that's probably the lowest I’ve heard of a lot of apparels 25% to 30% returns. And that's really based on the fact that we stack out-sizing for all brands in private label. So when the customer is buying one of our sizes, there is high degree of confidence that that product is going to fit him. And I think long-term, that's a big advantage for us.
Eric Beder: When you look at the mobile app, do you believe that this is going to bring in new customers, or it's going to reinforce your leadership online? How do you look at the mobile app as a competitive tool?
David Levin: Our mobile app increase quarter-over-quarter is dramatic, like I know a lot of retailers have. It's got a high rate of engagement, but conversion isn't quite where anybody wants it to be, but it is getting better. But it's giving us the ability to talk directly personalized to our customer. It's built on speed and today our average mobile page load time is of several seconds, 16 seconds. And our low time once we start the app going will be less than 1 second. And we'll be able to engage him, talk to him, interact and make that more seamless relationship that he's coming from the Internet and coming back into our stores. So we're excited about the mobile app and it's coming up shortly. And we'll see the results in action probably on the next quarter call we could talk specifically how it's working.
Eric Beder: And last question, so you've ramped up TV spend. What is it driven in terms of income -- the TV spend is there historically, does it drive more branded business, does it drive more private label business? What does -- what customers brought in by the TV that has been and brought in by just what you've done before?
David Levin: Well, our mission is always, as you know to grow the end of the racking for those who are familiar with that. It's really the guy who is in between being able to shop in traditional department stores and retailers and then going into a big and tall store. And 65% of big and tall guys fall between 40 and 46 and it was only 35% of our penetration. TV clearly is effective. When we started this campaign on TV, it was in the low-30s and now as we just announced now 44.8%; so almost half of our customers are into the rack. But it does also drive traffic to our existing customers. It is awareness our awareness didn’t go down for the first time when we do not have a TV run last fall, and now our customer count is going back up, getting very comfortable. And the best part about us keeping customer comp up is there is somewhat of a cost of acquisition to get that customer. But he comes back, he’s sticky and that’s what is about, getting him in and retaining him, will allow us to amortize the cost of that marketing overtime.
Operator: Your next question comes from Chris Krueger with Lake Street Capital Markets.
Chris Krueger: Just looking at the results, I think obviously the April same-store sales of 0.4% really stands out, and to me that implies a sequential jump of, I’ll call it 12% 13%, if I’m doing my math correctly from the February and March period. And I know your new marketing campaign kicked in. Can you talk a bit about what that all entail, or is mostly spent on TV or is it more radio and other sources?
David Levin: It was pretty much the same balance we’ve used historically; it’s mostly TV, supported by radio; mostly, sports-driven; we have some really good spots this year and some play-up games; a big boost from being on the NFL draft; and actually being a sponsor of the NFL draft. Our name was all over there, I got lots of feedback from a lot of people that saw that marketing campaign. But the advantage we have this spring is that we have a more intensive program with 40% more spend to really get that customer acquisition list going up again. But we’re very pleased with that and it has a halo effect. So even after we stop running the spring summer flight and Father’s Day, for the next several weeks, there is a nice carryover of that marketing campaign that does impact traffic into our stores and onto our Web.
Chris Krueger: And then the mobile app that you’re going to launch soon, how do you make these big and tall potential customers even aware of your app?
Peter Stratton: I think a lot of it will be through our store associates. There’re some of the best ambassadors that we have for our brand and they’re working with our customer ever day. So when somebody is coming into the store, we need to make sure that we have a good plan to show him that this app is out there, what it can do for him. It’s going to be more about, more than just another tool with which to transact business. We want him to be able to -- things like update his loyalty points and see what deals we have out there. So that will be the biggest part is through our store associates.
Chris Krueger: Okay. And you guys indicated that your CapEx for new DXL stores is going to be about $13.7 million this year. Can you remind us what that number was for last year?
David Levin: Let me get back you on that, I think, it was about $20 million. But I’d have to double check…
Chris Krueger: Thank you. That’s all I got.
Operator: We’ll take our next question from Greg Pendy with Sidoti.
Greg Pendy : Just wanted to understand, can you just run it through, I guess, the puts and takes of the gross margin. I know there is a little bit in the press release. But were some of these stores, particularly higher cost than typical stores? I know you said the merch margin was up 10 basis points. But I believe, overall, there was about 100 basis points deleverage with some store cost within that?
David Levin: Greg, so that's a very good question, I wanted to make sure that we're clear about that. Because you're right, merchandise margin was up 10 basis points. The merch margins were very similar to last year. We don't have a problem there. But you're correct there was some deleveraging on the occupancy cost. And the primary driver behind that is the timing of our new store openings this year versus last year. So last year, I think, we opened five new DXL stores in the first quarter. This year, we opened up 11 new stores. And keep in mind we take possession of those stores in some cases three months before opening. So you've got a lot of preopening rent in the first quarter that doesn't have any top line sales to go with this. So that's really what the biggest driver was. It's not that overall we're seeing that leases are getting significantly more expensive. It's more the preopening rents that we have to absorb in Q1 without sales to go with it.
Greg Pendy: Okay, that's very helpful. I appreciate it.
David Levin: No problem. And just one follow-up point for Chris Krueger on your question earlier, the CapEx was $19.6 million last year for the DXL stores.
Peter Stratton: And then one more point to make on that, that's why we're confident we're going to have excellent cash flow in 2018, because with the store count going from 19 to 5, that's obviously going to open up a lot of CapEx for us.
Operator: Our next question is from Bernard Sosnick.
Bernard Sosnick: April had a benefit of Easter shift for most retailers, I'm assuming DXL included. Therefore, it's a little bit difficult to judge what 6.4% gain for the month meant. And it's especially important since the commentary implies a similar 6% rate of growth going into May. Could you give us a little bit of clarity with regard to the lift expected in May, and how much of that in April came from the advertising program?
Peter Stratton: Well, we got the lift to the advertising program did start in the month of April. And a point for us is the Easters shift for us is not that dramatic in the men's business. I think it used to be 20 years ago and even last 10 years ago. It's just not becoming a significant buying holiday, and we've seen that over the years. So with the shift, it's a couple of 100 basis points at most. And that trend, post Easter, has maintained itself quite well. So we're feeling that the impact of the TV is certainly taking place, it's been like six weeks now of good run on our store comps. We were feeling confident that we’re going to be able to deliver positive comps going forward for the rest of the year.
Bernard Sosnick: I just want to be certain that there isn’t an overly optimistic expectation out there for 6% comp increase in the second quarter. Is that what you’re implying or something less?
Peter Stratton: No, I would not say we’re implying that. I think that as David just mentioned in April, we were advertising against no advertising last year. And over the course of the spring, we expect that that comp will come down a bit. For the second quarter, I would think we’re in low to mid-single-digits.
Bernard Sosnick: With regard to the end-of-the-rack shopper, you’re doing very well there. But I’m wondering whether or not you’re getting as much response from your Casual Male shopper as you would’ve expected in DXL store. There was some difficulty in the beginning, getting the transfer of the shopper. But I’m wondering whether or not there is responsiveness from the larger size guy who felt comfortable shopping in an out of the way store, as compared with something a lot more contemporary with DXL. So could you give us your thoughts with regard to the traditional larger size shopper and DXL?
David Levin: Bernie, I think it’s completely the opposite. Our big guy loves the store. In fact, he can’t wait for the store to open because when it comes in; he comes in opening day; he’s walking around the store; loves the selections. We’re giving him everything he wanted; this is what the Casual Male customer wanted from us; he wanted more brands; he wanted more selection; he wanted bigger dressing rooms. Basically, what we gave him came from focus groups and surveys of everything we’ve done over the years. So he totally embraces the store, and they’re converting over a much better than ever before and that was more of a marketing issue than a resistance. They just didn’t know where the hell the store was and we’re doing a much better job keeping the Casual Male store open for three months after the DXL store opens to continue to move that guy -- let him to move over to where the DXL store is; sometimes it could be four or five miles away and it takes time; but we continue to see continued comp growth being a destination strategy here. And no, I’m in the stores, we’re on the stores, the big guy loves the concept.
Bernard Sosnick: One other point with regard to DXL, could you remind me what the sales per square foot were for 2016. And what level of sales per square foot would be required from DXL to achieve your return investment objectives?
David Levin: So the sales per square foot in our DXL stores, it’s about -- last year is about $177 to achieve our return on investment objectives, it’s a lower much -- it’s a number of much lower than that. We certainly think that overtime the sales per square foot should be growing up to $200, $220 but we think we're making nice progress on that. We should in the mid-180s this year.
Operator: And we'll take our next question from Steven Ruggiero with R.W. Pressprich.
Steven Ruggiero: I just like to say before I give the question, just as a full cap structure analyst, I just want to say congratulations on the new bring through this tough retail environment, not only with favorable trends that could appeal for your growth analyst, but you have great financial flexibility and strength. And I just wanted to note that.
David Levin: Thank you.
Steven Ruggiero: So TV spend, you mentioned fourth quarter '17 versus fourth quarter '16. And perhaps I missed this. But can you give me a sense of what the dollar of that cost will be?
Peter Stratton: A fourth quarter '17 versus fourth quarter '16?
Steven Ruggiero: Specifically for that TV spend that didn’t exists last year but does this year.
Peter Stratton: The amount for just Q4, I don't think we have that with us. But I can get that. I will get that to you.
Steven Ruggiero: And then your merchandise SKUs. What percentages are available through your mobile app now and toward the end of '17, what percentage do you expect?
David Levin: At least 100%.
Steven Ruggiero: And then ecommerce sales as a percentage of total sales for all of '17, you mentioned 15% for the latest quarter, I believe. And just want a sense for where it will be a year from now?
David Levin: Well, we don't break that out. We give updates on it, but we don't give out that number we give out one comp number. But I will say this it's growing at an accelerated rate, obviously, compared to our store count.
Steven Ruggiero: And last question, when your products just sold through Amazon. What's the incremental cost per unit? Or more generally, what percentage -- which COGS as a percentage of an Amazon-directed sales as opposed to a non-Amazon-directed sales? And I know that might be a tough one to answer, but…
David Levin: That's one we're not going to answer that one?
Steven Ruggiero: I understand, I had to ask you. All right, thank you.
Operator: Your next question comes from Peter Rabover with Artko Capital.
Peter Rabover: I had a question on your -- in your investor deck, you guys have a breakdown of stores as you opened them that from year one to year five. And I think in year one, you expect to generate $150,000 in cash flow per store, year three is about 300, year five is 400. And so, I guess, two part question is any updates to those numbers; and then what would be the weighted average life of the new DXLG stores to think about in context with those numbers?
Peter Stratton: So the answer to the first part of the question is, is it changing. The answer to that is no. It moves a little bit, but we still see that the maturation cycle of the DXL store is four to five years. And we're seeing nice comp growth each year that the store matures. And it's still pretty closely sticking to that schedule that's in the investor presentation. Our payback on these stores is about 2.5 years, so we feel like we’re getting a good return on investment for our new stores that we’re opening. But again, we’re going to continue to open stores as we need to. But we’ve now got enough reach that we have a DXL store in every major market in the United States. So as we think about this year, the focus is shifting more towards digital and ecommerce.
Peter Rabover: And then maybe on the -- with your advertising. Did that drive more of online or the brick-and-mortar sales?
David Levin: It’s definitely both. A lot of -- you get very big spikes in our Web traffic when we’re on prime time. Conversion at that point is fairly low, because the guy is just more curious. But again, we’re getting him aware of the brand so when he is ready to shop, he knows where to go. But it drives traffic to the stores, it drives traffic online.
Peter Rabover: And then you had mentioned that your return rate was 8%. Do you think that’s because the people who shop online are your actually brick-and-mortar buyers, or would you say -- do you guys have that data to see who’s buying online, or is it brand new guys or is that people that have shopped with you before, they’re just loyal customers that are migrating to online?
David Levin: It’s really all about fit. Fit and comfort are the driving forces of our customers, because they’re challenged to find things that could fit them right. Once they find something that fits them, they’re going to buy multiples because they don’t think they can get it again or will be out of the size, so we have a big emphasis on that whole process; so we sit in months with each brand; we have global sourcing team that’s excellent at putting out the trim; getting this fits and everything to fit just right. So just for example, if you have a Tommy Bahama XXX shirt, we have a Calvin Klein XXX shirt, they both will fit him, but the DNA of that fit will be the same. So Tommy Bahama will be a little more generous in its fit and Calvin Klein will be a little more trimmer in its fit. But either one for guy that’s what differentiate ourselves from everyone else, I know, if I don’t buy jeans online because you never know how the brand is going to be size it, so I could be any of three sizes, which really means I want to go in the store and try it on. Our customer knows if he’s going to buy a 48-inch, 32-inch and seam, it’s going to fit him. And again having that low return rate is critical to our future growth, because I think it’s a real problem going forward for the brick-and-mortar retailers to make money if they’re going to have high return rates.
Operator: That concludes today’s question-and-answer session. That concludes today’s call. Thank you for your participation. You may now disconnect.